Operator: Good morning. My name is Regina, and I will be your conference operator today. At this time, I would like to welcome everyone to the BlueLinx’s Fourth Quarter 2012 Earnings Release Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer period. (Operator Instructions) As a reminder, ladies and gentlemen, this conference is being recorded today, Wednesday, February 13, 2013. Thank you. I would now like to introduce Maryon Davis with BlueLinx. Ms. Davis, you may begin your conference.
Maryon Davis: Thank you, Regina. And welcome everyone to the BlueLinx’s fourth quarter 2012 conference call. Our speakers this morning are George Judd, Chief Executive Officer; and Doug Goforth, Chief Financial Officer. Our press release was issued earlier this morning. A copy of the release is available in the Investor Relations section of the company’s website at bluelinxco.com. Before starting the call, I need to refer you to our Safe Harbor statement. I’d like to remind everyone that on today’s call, management may make forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including all statements concerning future or unexpected events or results. Actual results could differ materially from those projected in the company’s forward-looking statements due to known and unknown risks and uncertainties. A discussion of factors that may affect future results is provided in the company’s filings with the Securities and Exchange Commission. BlueLinx undertakes no obligation to publicly update or revise any forward-looking statements contained in these presentations based on new information or otherwise, except as required by law. With that requirement completed, I’d like to remind our listeners that we have posted slides on our website. We will be referring to these slides during this call and we encourage you to view them during our remarks. Additionally, the slide package contains an appendix of supplementary tables available for your review. We will begin the call this morning with opening remarks and an operations review from George. Then Doug will present an in-depth review of the financial statements. Lastly, George will add a final perspective before opening the call to your questions. Now, let me turn the call over to our Chief Executive Officer, George Judd.
George Judd: Thank you, Maryon. Good morning, everyone, and thank you for joining us. Before beginning our remarks regarding the fourth quarter 2012 results, I’d like to comment on our press release issued January 10, 2013, announcing a $40 million planned rights offering. As the housing market and general economic conditions continue to improve, the additional capital raised in the rights offering will allow BlueLinx to participate more fully in these improving conditions. We have filed the registration statement with the Securities and Exchange Commission, which contains a preliminary prospectus. As the right offering process is ongoing, we will not have any comments or take any questions regarding the offering. We will take questions at the conclusion of this call regarding the results and strategies. Thank you for your understanding and with that, I’ll begin the review of our fourth quarter and full year results. Those of you following along with the slides posted on the Investor Relation sections of the BlueLinx website. I’ll begin with slide four. The fourth quarter business environment improved as the underlying market fundamentals and leading indicators continue to strengthen, increasing the credibility of the housing market recovery. U.S. builders started work on homes in December at the fastest pace in over four years and finished 2012 was their best year for residential construction since the early stages of the housing crisis. According to the Commerce Department builders broke ground and homes in December at a seasonally adjusted annual rate of 954,000 units that is 12.1% higher than November’s annual rate and nearly twice the recession low reached in early 2009. Both single-family and multifamily starts increased in December and the pace of new home construction permits picked up to a four and half year high. Total housing starts in the fourth quarter increased approximately 36% compared to the same period a year ago. For the year, the Commerce Department reported total housing starts of 780,000 units, while this is roughly half the annual numbers starts consistent with a healthy market. It is an increased 28% from 2011 and is the most since 2008. This recovery is real, but we have way to go before we are in a healthy or normal market. What’s that mean for BlueLinx? Last quarter I talked about our end-used markets and our efforts to gain a deeper understanding of the end-used markets of our product assortment. Recently as part of our presentation at the Barclays Industrial Distribution Forum, we discussed our estimated participation in end-used market, which is recapped on slide 23 in the Appendix of today’s conference call slides. Consistent with our previous disclosures, single-family starts represents the housing end-used market to which BlueLinx is most closely tied. In December, the pace of single-family home construction increased 8% and its now 75% higher than the recession low reached in March 2009. Single-family actual housing starts ended the year up 24% from 2011. For the full year 2012, our structural products group performed well executing our strategic goal to pursue revenue growth while expanding gross margin percentage. We did the good job managing this business in 2012 and we effectively leverage the pricing volatility in wood-based structural products and focused on profitable growth, not to -- not unit volume growth. Our efforts in this area resulted in gross margin improvement of 30 basis points from the same period a year ago. As discussed on previous earnings calls, we expected our structural business to strengthen earlier in the housing market recovery. In our Specialty business, we experienced varying degrees of growth in 2012. This grouping of product is diverse in its makeup and in its end-used markets. Large portions of this product grouping, paneling and roofing for example are more closely tied to the repair and remodeling markets. Other products such as Hardwood Plywood and Particleboard are tied to our industrial business. These businesses are recovering at a much slower pace than the new residential construction markets. Specialty product growth remains our priority and as all markets recover, we anticipate our growth will accelerate. Continuing on slide four, we are excited about BlueLinx, excuse me, we are excited about BlueLinx’s perspective in the recovering housing market as a continued favorable trend in housing fundamentals experienced through the fourth quarter. For the quarter, we grew revenue in both product groupings, effectively applied our pricing disciplines and managed our operating costs of the current business environment. Year-over-year revenues grew for the sixth consecutive quarter in the fourth quarter of 2012 as we executed our strategy of controlled profitable growth. We aggressively pursued targeted business opportunities that met our profitability goals during the quarter resulting in year-over-year growth in the structural and specialty value added products. We were disciplined with our revenue growth as we managed margins, inventory and credit risk in the recovering housing market, delivered strong margins in both product categories and effectively managed operating expenses as volume through the warehouse distribution channels increased. Turning to the full-year performance, we grew total revenue 8.7% while successfully producing our highest gross margin profit -- I’m sorry, our highest ever gross profit margins. As a result, we narrowed our comparable full-year adjusted net loss by $12.2 million relative to a year ago. Our 2012 results are the continuation of a trend and improvements towards positive net earnings as shown on slide 25. Looking forward, we have established positive momentum in our business as we enter the 2013 fiscal year and remain confident both in the opportunities ahead of us and in our strategy to profitably grow our company. Now, let me turn the call over to Doug for a closer look at the financial results.
Doug Goforth: Thank you, George. Good morning. Beginning on slide seven, overall sales for the fourth quarter ended December 29 totaled $440.3 million, up 12.6% or $49.2 million from the fourth quarter of 2011. This reflects a 5.4% increase in specialty product sales and an 18.9% increase in structural product sales from the year ago period. Fourth quarter sales mix was favorably impacted by increased structural product pricing compared to the year ago period with structural sales accounting for 44% and specialty sales accounting for 56% of total revenue during the quarter. The increase in total revenue is attributable to increased specialty unit volume and underlying structural product prices. Structural wood based product prices retreated early in the quarter and rose during the last two months of the quarter. Overall unit volume rose 2.9% compared to the same period a year ago, as specialty unit volume increased 5.4% and structural unit volume decreased 0.8% compared to the same period last year. BlueLinx generated approximately $52 million in gross profit for the quarter, up 8.7% from approximately $48 million in the year-ago period. Overall gross margin was 11.8% for the quarter, down from last year’s 12.3% as lower margin’s structural products sale increased from 41% of revenue to 44%, therefore representing a larger mix of total gross margin. Fourth quarter operating expenses of $56.7 million were up compared to $50.5 million for the same period a year ago and included $0.2 million and $3.9 million in net gains from real estate related items in 2012 and 2011 respectively. Excluding real estate related items, operating expense increased approximately 4.6% compared to the same period a year ago even while unit volume through warehouse distributional channel increased approximately 6.5%. We’re pleased with our performance in effectively controlling cost in 2012 and our management team remains focused in this area of our business as revenue growth continues to accelerate. The company reported an operating loss for the fourth quarter of $4.5 million compared to $2.6 million in the prior year period, reflecting a $4.2 million increase in gross profit and a $6.1 million increase in operating expense. Our fourth quarter net loss of $11.4 million or $0.19 per diluted share compares with a net loss of $10.3 million or $0.17 per diluted share in the fourth quarter of 2011. Our reported net loss for the period is after interest expenses of $6.8 million, which was flat compared to prior year period. The current year net loss is after a tax provision of approximately $100,000 compared to a tax provision of approximately $800,000 in the prior year period. Looking at full year results on slide eight, sales for the 12 months ending December 29th, totaled $1.91 billion, up $152.4 million or 8.7% from the same period last year. Gross margin of 12.1% represents a new act for BlueLinx and compares to 12% in the year ago period. We believe our ability to expand overall gross margin indicates successful execution of our margin strategy. Full year reported operating expenses of approximately $224.6 million were up compared to $218.4 million a year ago and included approximately $10.4 million and $12.6 million in significant special items in 2012 and 2011 respectively. The resulting operating profit of $5.5 million compares to an operating loss of $8.3 million for the same period a year ago and represents a $13.8 million year-over-year improvement. The full-year reported net loss of $23 million or $0.38 a share compares with a net loss of $38.6 million or $0.89 a year ago. Turning to slide nine. EBITDA increased $12.3 million over the prior year period due to the increase in gross profit, partially offset by operating expense increases. Excluding the impact of significant special items in 2012 and 2011, EBITDA improved by $14.5 million. Turning to cash flow on slide 10. During the quarter, we generated approximately $12 million in cash from operating activities compared to approximately $33 million last year. Our fourth quarter 2012 operating cash flow was comprised of a net loss of $11.4 million, $3 million in non-cash expenses and $19.6 million decrease in working capital and $1.2 million in other items. The decrease in working cap primarily reflects seasonal decreases in accounts receivable of $34.3 million, partially offset by a $9.8 million increase in inventory and a $4.9 million net decreases in accounts payable and other working capital items. This is the first time since the end of 2005 that the company has increased its inventory position during the fourth quarter in anticipation of accelerated demand. Investing activities included $300,000 per capital expenditures and $600,000 in proceeds from the sale of excess equipment during the quarter. Cash used by financing activities of $15.4 million included approximately $13.8 million used to reduce the revolving credit facility. During Q3 2012, we sold our facility in Newark, California. The cash received from the sales reflected in the mortgage cash trap at September 29, 2012. On October 1, 2012, $12.8 million of cash from the sale and $11.8 million of cash accumulated in the mortgage cash trap was used to pay down the mortgage principal. The resulting cash balance at December 29th was $5.2 million compared with $4.9 million a year ago. For the 12 months of 2012, we used approximately $74 million of cash for operating activities compared to approximately $50 million in cash during a year ago period. Our operating cash flow in 2012 includes a net loss of $23 million, $12.3 million in non-cash expenses and $4.5 million in other items, offset by a $52.3 million increase in working capital, $9.9 million in gains from the sale of certain properties and $5.9 million from the modification of our corporate headquarters’ lease agreement previously disclosed in the third quarter of 2011. Working capital increased, primarily due to higher sales volumes this year versus last year, coupled with a typical acceleration of housing starts late in the quarter. Cash provided by investing activities were $16.4 million for the twelve months of 2012, driven by proceeds from the sale of real estate. Cash provided by financing activities was approximately $58 million, driven by a $76.9 million increase in outstanding borrowings under our revolving debt facility, a $37.3 million in mortgage principal payment, a $13 million increase in bank overdrafts, a $10 million decrease in restricted cash related to the mortgage and $4.5 million usage from other items. This compares to approximately $29 million of cash provided by financing activities a year ago. As a reminder, we completed the $60 million rights offerings during the third quarter of 2011. On July 29, 2011, we issued approximately 28.6 million shares and received $60 million in gross proceeds from the rights offerings. $56 million of the proceeds from the rights offerings were used to immediately pay down the revolving credit facility. In conjunction with the rights offerings, we negotiated an amendment to our mortgage agreement, which in part allowed for the release of $38.3 million in total funds held as collateral under the mortgage agreement, saving $2.4 million a year in interest expense. The released cash was used for an immediate prepayment on the mortgage loan without incurring a prepayment penalty. Moving to slide 11, we had approximately $88 million of excess availability under our revolving credit facilities as of quarter end. That is approximately $50 million above our minimum availability requirements as of December 29. The combined debt balance on our mortgage and revolving credit agreements was $377.4 million, a decrease of $42.7 million from the third quarter of 2012. Net debt at the end of the fourth quarter was approximately $372 million compared to $387 million at September 29. Turning to slide 12, cash cycle days for the fourth quarter totaled 58. That compares with 59 days sequentially and 56 days for the same period a year ago. The increase in cash cycle days is a result of both strategic inventory investments to support targeted growth and a higher mix of structural product dollars, which traditionally carry shorter payment terms. That concludes my prepared remarks. Now, let me turn the call back over to George.
George Judd: Thanks, Doug. I’d like to share a few observations before turning the call over to the operator for questions. As we move forward in 2013, we are confident in our ability to both increase our share of the market and maintain operating discipline that we have demonstrated over the last several years. We remain focused on providing dependable, high-quality service to our customers as the recovery of the residential construction market continues to accelerate. We are encouraged by economic forecasters who point to favorable outlook for household creation and new home construction. The consensus and forecasts we monitor, including those produced by research information systems and the National Association Of Homebuilders currently put housing starts in the range of approximately 900,000 to 1.2 million units for 2013. These same forecasters estimate continued growth in 2014. The outlook for some of our other end-use markets is also encouraging, with repair remodeling activity expected to increase throughout 2013 and with modest growth predicted for industrials and non-residential construction markets. In summary, the operating environment is improving and the housing market currently is showing significant signs of improvement. Our 2013 operating plan is based on expectations that our sales will significantly increase from 2012 levels, as the overall market for the products we distribute continues to gain momentum. Our plan is to maintain a strong gross margin level by continuing to focus on specialty product growth, and by effectively managing our structural business for profitability. In 2012, we achieved record gross margins of 12.1%, delivering a 20 basis point improvement in specialty gross margin and a 30 basis point improvement in structural. I’m very pleased with the strong margin performance in 2012. In addition, we’ll continue to effectively manage our operating costs as we have done over the last several years without diminishing our ability to achieve our growth objectives. Excluding significant special items, 2012 operating expenses increased approximately 1.7% compared to 2011, even while unit volumes through the warehouse distribution channel increased approximately 9%. Executing our growth plan requires that we have the financial leverage, sales expertise and inventory necessary to support accelerated growth. We are moving forward with specific goals on these fronts in 2013. As previously announced, we have initiated a $40 million rights offering to more fully participate in the housing market improvements. We are highly confident in the effectiveness of our nationwide sales force, which was executed extremely well over the past year, delivering 8.7% revenue growth and record gross margins and is staffed to meet our 2013 growth objectives. Our product portfolio and support services remain best-in-class. We currently are working to ramp up sales of new and existing products over the next several months and we believe they will possibly -- positively impact special product unit volume growth in 2013. Let me take a moment to share a couple of examples. During the fourth quarter, we launched our new SteelLinx website, www.steellinx.com. SteelLinx is BlueLinx’s comprehensive proprietary line of quality metal products. The website puts the full breadth of our SteelLinx product offering at the fingertips of our sales team and customers, providing that we believe to be a very effective sales tool. Another example is our new complete line of privately branded engineered products, onCENTER, which we launched last February. Our customers have responded well to our total engineered product solution this year, and we expect to continue both in this year and 2013, as we execute target initiatives. Our year old relationship with Weyerhaeuser in the Northeast continues to -- continue to be another notable success. Finally, our strategic relationships are strong. We believe the combination of successful execution of our strategy, and a continued recovery of the housing and construction markets will return BlueLinx to profitability. With that, I’d like to open the call for questions. Operator?
Operator: (Operator Instructions) Our first question will come from the line of Mark Wilde with Deutsche Bank.
Mark Wilde - Deutsche Bank: Good morning, George.
George Judd: Good morning, Mark. How are you?
Mark Wilde - Deutsche Bank: Good. George, just as we see volume kind of picking up across the business, are you seeing any bottlenecks?
George Judd: What’s funny, Mark, it’s just that the Harvard Joint Center meeting in the last couple days and that was one of the roundtable discussion points that we talked about as a group of CEOs for around the industry. And the big bottlenecks, our labor that’s from the builder perspective and really from our perspective as well. Hiring qualified people, particularly for us drivers is a challenge and then we still have financing limits on the industry and availability for builders to fund the acquisition of new lots seems that the -- their one of the anchors that will have as the recovery comes forward will be that some of the A lots and the desirable markets are cleaned up and the time to get new lots developed in desirable locations is longer as communities have cut the support teams and the inspectors and all of those things that have been reduced due to recession. So it’s going to take a little while to ramp up. But I’ll tell you, you know everybody was very, very optimistic as with the last meeting that we had in the fall up in Harvard. The economists are more optimistic than the CEO’s, which is flip-flop from during the recession. But I think every CEO’s very optimistic that the housing recovery will rebound and those follow next. We’ll work through as prices go up and capacities are expanded.
Mark Wilde - Deutsche Bank: Okay. And I know you’re trying really focusing on the Specialty side of your business, but with housing picking up and let just say we moved back toward $1.5 million starts? Are the things you can do to kind of extract the most leverage possible from structural side of your business and will you grow with the rise in starts on that side of the business?
George Judd: Yeah. Absolutely, we talk about our structural business and growing and maintaining share that managing profitability. Our structural business is the fastest-growing portion of our business right now. We did expect that as we thought it would come earlier in the housing recovery. But our plan is to maintain our structural focus and that’s a big part of our inventory investment that we have today, just between price appreciation, and lumber and OSB in particular. And then demand increases, it’s -- we built our inventories and we are participating in the market.
Mark Wilde - Deutsche Bank: Okay. Two other questions, one is, just a relationship with Weyerhaeuser. I mean, historically, they’ve had a pretty big distribution business on their own. So can you just talk about how you sort of work with them, when you are presumably at the same time kind of competing with them in some markets?
Doug Goforth: Well, we’ve always been a customer of Weyerhaeuser even back when we were at Georgia-Pacific years and years and years ago. Freight such an important part of the business that sometimes it’s more advantage to procure product from the closure mill. But the new relationship is exciting to us because it’s engineered lumber. It’s their brand which is, they are the number one supplier in engineered lumber North America. We have never partnered with them on engineer level in our history until 2012 and we started that relationship in the Northeast in Bellingham, Massachusetts, our facility there when their distributor had some financial difficulties. It’s done very, very well. Our customers are excited about it. I saw some of the Weyerhaeuser guys this week. They are happy with our performance. We are happy with the results. So I think we’ve done a nice job for them and I expect that to continue.
Mark Wilde - Deutsche Bank: Okay. And just a last question on that engineered wood business, I know the kind of pricing in performance for the manufacturers is not been very good in that business and I know that some of the leading producers have been out there with price initiatives for March. Do you have any view on how that may or may not take hold?
Doug Goforth: Well, they need a price increase, when you look at OSB increases and vinyl increase, and raw lumber, timber increases, all the components have gone up but the assembled product hasn’t, so that doesn’t make a lot of sense. So we fully support the price increases in the market.
Mark Wilde - Deutsche Bank: Okay. Very good. Good luck in the first quarter and for the year.
George Judd: Thanks Mark.
Operator: Our next question will come from the line of Greg Cole with Sidoti & Company.
Greg Cole - Sidoti & Company: Hi. Good morning, everyone.
George Judd: Good morning, Greg.
Greg Cole - Sidoti & Company: Just a question on the specialty revenue side, I think the reason it’s been lagging of the large growth on the structural side is the roofing. Is that still the case?
George Judd: Yeah. I mean it’s definitely growing slower than the structural side. We had a tough year -- year-over-year comp in roofing as did everybody in the industry with 2011 storm issues and then the way 2012 came out with large roofing winter buys and price increases. It was kind of a messy year in the roofing business and it definitely did impacted some major business for us. And it’s a growing business for us.
Greg Cole - Sidoti & Company: Okay. Do you have a -- do you have an estimate of what it would have grown this year without the roofing impacts?
George Judd: It’s hard to -- you’d like to know what the normal 2011 would have been right, so. The new housing roofing segment increased with starts, 20% or so but that storm damage was just so, so large in ‘11 and it was thankfully minimal in 2012, thankfully from the perspective of those affected by storms. The Sandy thing is just kicking in now in the industry. We just started to see the rebuild up. So that will have a little uptick in all the product lines but specifically roofing. So I don’t know, I didn’t do the analysis on what a year-over-year comparison would be without the storms but it affected the producers, it affected all of the distribution and affected the retailers as well.
Greg Cole - Sidoti & Company: Okay. That’s fair. And then as we’re -- as you’re trying to get up to the 60%, how does that, I guess, how do you get there in such, I guess, a blooming market for housing over the next two years. Is this fare or do you want have to, I guess, do something on a very large scale to improve specialty revenue?
Doug Goforth: So we were within one point of 60% before the market actually started come back and the structural business comes back first, which we had expected and had communicated in previous calls. So if you take price, the price appreciation but particularly in finding lumber in OSB and consider that the impact on what that mix is and then just its structural comes first, I’m optimistic that our strategy will allow us to continue our migration toward 60% and beyond. As we grow our share in codes like roofing and product lines like roofing and product line likes molding and in our metal product line is very strategic to us as I talked about in the prepared comments. All of those -- all those lines see nice growth and I expect that to continue.
Greg Cole - Sidoti & Company: Okay. Thank you very much.
Doug Goforth: Okay. Thank you, Greg.
Operator: There are no further questions at this time. I would turn the call back over to Mr. Judd for any closing remark.
George Judd: Okay. Thank you, Operator. Thanks for joining us and I look forward to talking to you in next quarters call.